Operator: Good day and welcome to The Western Union Second Quarter 2017 Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead.
Michael Alan Salop - The Western Union Co.: Thanks, Andrew. On today's call, Hikmet Ersek, Western Union's President and Chief Executive Officer; and Raj Agrawal, Executive Vice President and Chief Financial Officer, will discuss the company's 2017 second quarter results, and then we will take your questions The slides that accompany this call and webcast can be found at westernunion.com, under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. Today's call is being recorded, and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2016 Form 10-K, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by the Western Union officers on this call are the property of The Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay, or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek - The Western Union Co.: Thank you, Mike, and good afternoon, everyone. We are pleased that our global diverse business continued to deliver solid performance in the second quarter. Although the external environment remained mixed around the world, our overall constant currency revenues increased 2%. Money transfer constant currency growth was driven by strong results from Latin America and solid growth from North America Outbound and Europe. The performance from these markets offset continued declines from the oil producing countries in the Middle East and Africa. Our digital business continue to excel with westernunion.com transactions increasing 25%. In Business Solutions revenues declined slightly in constant currency terms as low FX volatility affected business in some key markets. Our Speedpay electronic bill payments business, however, again posted good result, delivering double-digit growth in the quarter. From a profit perspective, our adjusted margins were strong, all the GAAP margins were affected by a legal matter accrual. We also continue to maintain a strong balance sheet and return significant cash to shareholders. Year-to-date, we have returned $540 million to shareholders through dividend and share repurchases. Based on our second quarter results and our projections for the remainder of the year, we have increased our full year adjusted earnings per share outlook. The GAAP EPS outlook has been moved down slightly due to the legal matter accrual. To summarize the quarter, I am pleased with the operating performance of the business. We are still managing through some challenges in the regulatory environment related to our prior settlement, but our compliance program remain a critical component of our cross-border capabilities and we will continue to invest in them. Our business performance continues to be stable and resilient, and we believe there are opportunities to accelerate growth over time. With our long-term strategies we are focusing on, digital expansion and money transfer, optimization of our retail money transfer business, expansion of our payments based business including Business Solutions and U.S. electronic bill payments and further increase in operating efficiencies. The growth trends are built on our key cross-border capabilities, including global licensing and regulatory compliance, foreign exchange and settlement system, technology and our extensive payout network. We believe we have a strong leadership position in digital money transfer, with westernunion.com money transfer revenue of more than $340 million last year and delivering strong growth again in this year. Over the next few years, we plan to expand well beyond the 40 countries where we have westernunion.com transaction sites today, with an emphasis on mobile, as well as increased penetration in existing markets through enhanced services and customer relationship management, account payout offerings and digital partnerships. In retail money transfer, we believe there are opportunities to increase customer retention by focusing on improving the customer experience and CRM processes. I just returned from Australia where we have introduced an example of improving customer experience by combining digital with retail through an agreement with BP Australia. Under the agreement, our money transfer services will be enabled in over 300 BP gas stations, allowing consumers to set up transactions on the app and then pay at the counter or use kiosks at the stores. This service will create convenience for consumers by speeding up transactions and allowing them to send any time they want, given the extended opening hours of gas stations. We plan to launch similar service in other markets as well. Outside consumer money transfer, expanding our payments-based business is a key priority. We are working on a new go-to-market strategy with Business Solutions, leveraging digital acquisition and servicing to our EDGE platform. We're also applying more resources to our specialized payments business, which serves verticals such as financial institutions and universities, and have been good performance within Business Solutions. We recently published new industry research on the significant financial and human resource cost faced by universities when managing payments from international students. However, our GlobalPay for Students platform was developed to improve the way universities reconcile, refund, and track international payments, and it also provides a mobile-first interface for the students. With our Speedpay U.S. electronic bill payment business, we are focused on adding more billers and additional features and services for consumers and billers. Finally, further increasing our operating efficiencies is an important element of our long-term success. WU Way initiatives are intended to produce near and long-term efficiencies, as well as aid growth to improve customer retention and aid in management processes. This year, we have changed our organizational design, begun implementation of lean management techniques in our operating centers, progressed the optimization of our technology footprint, and initiated pilot programs to drive improvements in customer experience and other areas. Although sample size are small at this stage, we are seeing good results from many of our pilot programs. We are experiencing significant productivity gains in our agent implementation pilots. We are also getting good early test results on using digital self-service and other tools to reduce customer touch points and call center times on transactions that require initial need to action. We will keep you updated on our strategic efforts, and provide the additional WU Way metrics and progress points as they develop. Now, I would like to turn the call over to Raj to discuss the second quarter results and our full-year outlook in more detail.
Rajesh K. Agrawal - The Western Union Co.: Thank you, Hikmet. Second quarter reported revenues of $1.4 billion were flat compared to the prior-year period, or increased 2% on a constant currency basis. The impacts of currency translation, net of hedge benefits, reduced second quarter revenue by approximately $29 million compared to the prior year. In the Consumer-to-Consumer segment, revenues decreased 1% in the quarter or increased 1% constant currency. Transactions grew 3%, driven by strong growth in westernunion.com. Total C2C cross-border principal increased 1%, or 2% on a constant currency basis, while principal per transaction declined 3%, or 2% in constant currency terms. The spread between C2C transaction growth and revenue growth in the quarter was 4 percentage points, including a negative 2% impact from currency. Mix had a negative impact of approximately 2% in the quarter, while pricing was flat compared to the prior-year period. Turning to the regional results for the quarter. I will be referring to constant currency movements as I discuss individual country contributions to the regions' results. North America delivered good growth again in the quarter, with revenue increasing 3% on a reported and constant currency basis, while transactions grew 4%. Strong U.S. outbound was driven by sends to Latin American countries, while U.S. to Mexico and domestic money transfer in the U.S. were softer than the first quarter. Market growth to Mexico appears to have slowed, which may be tied to the strength of the Mexican peso, and our U.S. domestic revenues are being impacted by previously implemented price reductions. In the Europe and CIS region, revenue declined 2%, or increased 2% on a constant currency basis, while transactions increased 7%. Revenue growth in the region was led by France, while transaction growth continue to benefit from increases in Russia. In the Middle East, Africa and South Asia region, revenue declined 12%, or 11% constant currency, and transactions were down 10%, as oil prices continued to negatively affect key send markets. Total inbound business to India was down approximately 15% in the quarter, an improvement compared to the 20% decline in the first quarter, and the decline was largely attributable to softness in the Middle East send markets. In the APAC region, revenue was down 4%, or 2% constant currency, while transactions decreased 1%. The Latin America and Caribbean region continued to deliver very strong results, led by Argentina and several other markets. Revenue grew 21% in the region, or 22% constant currency, while transactions grew 16%. Westernunion.com C2C revenue delivered strong performance again in the quarter, with revenue increasing 21% or 23% constant currency, on 25% transaction growth. Westernunion.com represented 9% of total C2C revenue in the quarter. Business Solutions revenues declined 4% or decreased 1% constant currency, including a negative 3 percentage point impact from the loss of the XE.com business. Revenues benefited from good growth in key verticals such as financial institutions, universities and NGOs, but this was offset by continued decline in sales with hedging products, partially due to the lower FX volatility in key markets. Our bill payments revenues are now reported in other, rather than a separate C2B segment due to recent organizational changes that resulted in a split of executive leadership responsibility for these businesses. The bill payments businesses represented over 85% of other revenues in the quarter, with the remainder primarily comprised of our retail money order and retail FX businesses. The largest component of other is our Speedpay U.S. electronic bill payments business, which had revenues of over $320 million in 2016. Overall, other revenues increased 9% in the second quarter or 12% on a constant currency basis. Constant currency revenue growth was driven by Speedpay in the U.S. and the Pago Facil walk-in bill payments business in Argentina. Turning to margins and profitability. The consolidated GAAP operating margin in the second quarter was 15.6%, which compared to 18.9% in the prior year period. The decline in GAAP operating margin was due to a $49 million accrual towards a possible resolution with a state regulator. The matter covers the same facts set forth in the company's agreement with the federal government announced in January concerning the company's anti-money laundering programs over the 2004 through 2012 period. Last week, the regulator, the New York Department of Financial Services, informed the company that those facts give it basis to take additional enforcement action, the resolution of which would involve a payment to the regulator. As the matter is still under negotiation, we refer you to our Form 10-Q for further information. Adjusted operating margin of 21.7% in the quarter compared to 20.2% in the prior year period. The adjusted margin increase was primarily due to benefits from the timing of marketing spending and lower commission expense. Adjusted metrics exclude WU Way expenses in both the current and prior year, expenses related to the settlement with federal and state governments in the prior year, and the legal matter accrual in the current year. WU Way expenses were $35 million in the current quarter and $2 million in the prior-year period. Expenses related to the settlement totaled $15 million in the prior-year period. We have recorded approximately $1 million of savings from the WU Way initiatives in the quarter and continue to expect approximately $20 million of savings for the full year. Foreign exchange hedges in the second quarter produced a benefit of $7 million, compared to a benefit of $11 million in the second quarter of 2016. For the full year, we now expect approximately $10 million in hedge benefits, which is down from our previous expectation of approximately $25 million due to the strengthening of the euro and other key currencies. Although hedge benefits declined with the strengthening of foreign currency, translation benefits on unhedged positions more than offset these reduced benefits. Consequently for the full year, we expect the net currency impact on profit to be slightly less than our previous outlook. In the quarter, currency negatively impacted operating profit by approximately $7 million compared to the prior year. Compliance expense was 3.2% of revenue for the second quarter as we received some benefit from early completion of the Southwest Border agreement in the U.S. In June, it was announced that we successfully completed all monitor recommendations related to this agreement which was signed in 2010 with the State of Arizona. Through two quarters, compliance expense was at 3.5% and we now expect the full-year expense to be slightly lower than we previously thought, although still in the 3.5% to 4% range. EBITDA margin of 20.3% in the quarter compared to 23.7% in the prior year period, while adjusted EBITDA margin of 26.4% compared to 25% in the prior year period. The effective tax rate in the quarter was 9.7% compared to 7.6% in the second quarter of last year. The adjusted tax rate was 11.2%, which compares to 9.7% in the prior-year period. For the full year, we now expect effective tax rates may be slightly below our previous outlook with the GAAP rate projected to be approximately 10% to 11% and the adjusted rate approximately 12% to 13%. GAAP earnings per share of $0.35 in the second quarter compares to $0.42 in the prior-year period. GAAP earnings includes a negative $0.10 impact in the legal matter accrual, which was $49 million on both a pre and after-tax basis. Adjusted earnings per share was $0.50 which compares to adjusted EPS of $0.44 in the second quarter of last year. The C2C margin was 24.8%, up from 23% in the prior-year period. The margin increase was primarily due to benefits from the timing of marketing spending and lower commission expense. Business Solutions operating profit margin was 5.5% in the quarter compared to 5.2% in the prior-year period, as lower depreciation and amortization was partially offset by higher technology expense. Depreciation and amortization for Business Solutions was approximately $11 million in the current quarter compared to $13 million in the prior-year period. The Business Solutions EBITDA margin was 16.6%, which compares to 18.2% in the second quarter of 2016 with the decline primarily caused by higher technology expense. Operating margin for the businesses in other was 12.1% in the quarter compared to 11.3% in the prior year. The year-over-year margin improvement was driven by technology efficiencies and revenue growth, which were partially offset by higher bank fees in U.S. electronics bill pay. Turning to our cash flow and balance sheet. Cash flow from operating activities was a usage of $24 million year-to-date, which includes $591 million of payments related to the settlement with the federal and state government announced in January and approximately $39 million of WU Way-related payments. Excluding these items, cash flow from operating activities was $606 million in the first half of the year. Capital expenditures were $49 million in the second quarter. And at the end of the quarter, we had debt of $3.6 billion and cash of $1.1 billion, with approximately 40% of the cash held by United States entities. During the quarter, we returned $232 million to shareholders, including $82 million in dividends and $150 million of share repurchases, which represented 8 million shares. The outstanding share count at quarter end was 464 million shares and we had $1.1 billion remaining under our share repurchase authorization. Based on the first half results and our recent business trends, we are affirming the outlooks for constant currency revenue, adjusted operating margin and cash flow that were previously reported on May 2nd. We are increasing our outlooks for GAAP revenue and adjusted earnings per share, while we are decreasing our outlooks for GAAP operating margin and earnings per share due to the legal matter accrual. We now expect GAAP revenue growth to be in the range of flat to a low single-digit increase, an improvement from the previous outlook of flat to a low single-digit decline due to the strengthening of key foreign currencies. Given some favorable expense trends, the weaker U.S. dollar, and a slightly lower expected tax rates, we are increasing our adjusted earnings per share outlook to a range of $1.72 to $1.80, up from $1.63 to $1.75 previously. The GAAP earnings per share outlook has been decreased to a range of $1.46 to $1.56 compared to $1.48 to $1.60 in the prior outlook, due to the $0.10 impact of the legal matter accrual. Both earnings per share ranges reflect an approximately $0.08 negative impact from foreign exchange, compared to the prior year, down slightly from our previous projection of a $0.09 negative impact. The strengthening of foreign currencies has a larger impact on revenue than earnings in the short-term due to the neutralizing impact of our existing hedges. So, to summarize, we delivered solid business performance in the second quarter, our balance sheet and returns of cash to shareholders remain strong, and we have increased our adjusted EPS outlook for the full year. Operator, we are now ready to take questions.
Operator: We will now begin the question-and-answer session. The first question comes from Jim Schneider of Goldman Sachs. Please go ahead.
James Schneider - Goldman Sachs & Co. LLC: Good afternoon. Thanks for taking my question. Maybe just two quick questions on the regional trends in both the U.S. to Mexico corridor, you talked about potential peso movements maybe contributing to the slowness of that business. Can you maybe kind of expand on what you think might be going on there if anything beyond that? And then secondly, on the EU and CIS, I think that's slowed again a little bit against relatively easy comp last year. So I'm just wondering if there's any specific trends to call out within Europe.
Hikmet Ersek - The Western Union Co.: Hey, Jim. Thank you for the question. So if you look at the U.S. Mexico business, I think the growth has been very strong the last quarters, actually over several quarters. As you know, we are doing better than the markets there, and we are quite competitive. I believe the strength in the Mexico has contributed of the slowness of the corridor a little bit, still strong growth but still contributed that. I don't see, from today's point of view, there's other impact on this corridor. Don't forget that we have a solid business there, or we have about 30,000 locations, recently, we announced also OXXO locations there. So I believe that the business has been impacted mainly of our strength in peso there. So we don't see different trends than from today's point of view. Our pricing has been very competitive. We see good trends there. So that's it. On Europe, I think we are pleased with our growth there, right. I mean, France has been doing very well, other European Union countries holding pretty well. Russia showed good transaction growth. As you recall that – especially Russia to Ukraine has been a good corridor for us. There are some regulatory challenges for the competition, and also some political and regulatory issues there, but I think we've been performing there also well.
Hikmet Ersek - The Western Union Co.: Yeah. And then, Jim, just a slight tick-down in growth in Europe and CIS. Russia was strong in terms of transaction growth in the quarter, but it was slightly softer than it was in the first quarter.
James Schneider - Goldman Sachs & Co. LLC: That's helpful color. Thanks. And then maybe one for you, Raj. In terms of the compliance outlook, it's good to see that you kind of reined towards the lower end of that 3.5% to 4% range. I mean, is that indeed your expectation for the full year as coming at the low end of that range and can you maybe comment on the sustainability of kind of under-running that range as we head into 2018?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, we initially gave an outlook on May 2 of being at the high end of the range. We believe we'll be in the range now. I can't tell you specifically whether we'll be at the low end of that range or not. But obviously, we try to do things as efficiently as we can, but still making sure that we meet all of our objectives. The Southwest Border helped us in the second quarter, and that's what's really helping us bring it down. And as we look at next year, I think it's a little bit early. But you can look at the trend for the last two or three years, it's been in that 3.5% to 4% range. So we feel good about where it is today, and we continue to invest in that area to create the advantage long-term.
James Schneider - Goldman Sachs & Co. LLC: Thank you.
Hikmet Ersek - The Western Union Co.: Thanks, Jim.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Operator: The next question comes from Kartik Mehta of Northcoast Research. Please go ahead.
Hikmet Ersek - The Western Union Co.: Hi, Kartik.
Kartik Mehta - Northcoast Research Partners LLC: Hey. How are you? Good afternoon. I just wanted to maybe ask a little bit more on the compliance cost. I know in the past we've talked about the real ability to drive down those costs would be, try to automate some of those processes. And I'm wondering, now that you've had this ongoing for a little while, is it possible to automate some of those processes to drive down costs, or will this stay a very people-intensive ballpark, and so the expenses will kind of stay where they are?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I would just say, Kartik, that on the compliance cost run, there is a large portion that's fixed in nature, but there's also a piece that's variable. And obviously, we want to reduce the fixed cost as much as we can, with more technology enhancements. That takes some time for us to put those in. Obviously, we've been putting in technology solutions and we're trying to optimize all of our processes. As you know, we also have the WU Way programs, where we're trying to put lean management in our operating centers around the world. We have a lot of our compliance people sitting in these operating centers. So obviously, the goal is making sure that we do everything we need to do, but then we're going to try to be as efficient as we can be. And that's why, even though we've had good transaction growth over the last few years, we've been able to maintain that range of 3.5% to 4%, because we want to look for efficiencies along the way. So that's absolutely a part of our focus, to keep optimizing there.
Kartik Mehta - Northcoast Research Partners LLC: And then, Raj, if you look at the operating margins for the C2C business, I realize you benefit a little bit from maybe expense timing this quarter. As you look out, what do you think the sustainability of margins is in that business?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, the margin – and I can't give you a forecast, Kartik, but I would say that a lot of the WU Way efficiencies and the programs that we're trying to drive efficiencies through will help margins in the consumer business. That's where a lot of our operational activities are. And so certainly, that's where we want to try to find efficiencies. And I think there's opportunity there. As we improve the customer experience and as we reduce the touch points that customers have, or even agents, that's what gives us the ability to take some cost out of that business.
Hikmet Ersek - The Western Union Co.: The mix helps us also a little bit, Kartik. Dropping money on an account helps there also. We see a very strong growth there. Sending money from dot-com to an account, that helps a little bit. But the dot-com success is also very much linked to the cash payout. So the combination of account payout and cash payout is definitely very competitive on the market.
Kartik Mehta - Northcoast Research Partners LLC: Thank you very much.
Hikmet Ersek - The Western Union Co.: Thanks, Kartik.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Operator: The next question comes from Tien-Tsin Huang of JPMorgan. Please go ahead.
Tien-Tsin Huang - JPMorgan Securities LLC: Thanks. Good steady results here. Just, I guess, following up on Kartik's question on margin. This quarter obviously came in very, very strong. I get that some of it was timing of marketing, but is the commission piece permanent? Just trying to understand what's going to drive the step back down in margin in the second half versus the second quarter, I suppose.
Rajesh K. Agrawal - The Western Union Co.: Yeah. Tien-Tsin, this is Raj. There is some timing of expenses in the first half. So marketing is going to be higher in the second half, so we have plans to put our programs in place there. We have a slightly higher compliance expense than we experienced in the first half, just given the benefit we got in the second quarter. And then, from a currency standpoint, we – from an absolute standpoint, it helps us both from top line and bottom line. Margins are somewhat negatively impacted, just because of the hedge position that we have, which mitigates the impact on profits. And then we'll also get some WU Way savings and efficiencies, which we've also taken into account. So, assuming we spend all of the money that we have planned, then we would expect margins to be slightly lower, but obviously we're going to try to do things as efficiently as we can.
Tien-Tsin Huang - JPMorgan Securities LLC: And then on the commissions?
Hikmet Ersek - The Western Union Co.: I think I can take that, Raj.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Hikmet Ersek - The Western Union Co.: Look, we are obviously looking also on the commission side. On the send side, obviously, the mix helps us a lot Tien-Tsin, as you know, if you send money or receive money on an account or electronically, it's different. You do have credit card cost or bank fees on the send side, on the dot-com business. But still, you don't have the send commissions. And obviously, the mix is one that helps us, and we do have WU Way programs, how we will optimize our commissions based on different prices, different brands, different corridors. I think the flexibility on the new WU Way approach, and adapting our technology to the new kind of corridor specific commissions helps us also, long-term, bring the commissions down.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay. Yeah. That makes sense. If I could ask just a quick follow-up then, just on the westernunion.com piece. You mentioned the 40 countries. Is there a good backlog or a pipeline of additional countries to rollout this year Hikmet, or Raj?
Hikmet Ersek - The Western Union Co.: Yeah. I think, obviously, our focus is expanding our dot-com. I wish I could be as soon as possibly 200 countries, right, like my retail money transfer business. On the 40 send countries, 20 of them are on mobile app already, 40 are online. And there is a roadmap to add additional countries. For competitive reasons, I don't want to tell which countries we're going to launch, but we will launch countries very soon, new countries and you're going to see new announcement and the team is very much focused. As you know, it's not an easy to job. You see it from the competitors there sticking with one or two countries, but you have to get the regulatory environment, you have to get the compliance environment, you have to get the digital environment and that takes time to launch a country and you have to have the ethnic marketing in this country. So it takes time, but 40 outbound country is definitely something. And on the growth, on the westernunion.com, the team is doing very well – pretty good on the existing countries. They are much focused on the customer experience like the U.S. We see the customers who use dot-com come more often to us than they use it in retail. On the new countries, obviously it's all about new awareness and growth. And once the growth also kicks in, in the new countries, I believe that there is an opportunity to grow faster on dot-com.
Tien-Tsin Huang - JPMorgan Securities LLC: Right. Great. Thanks for the update. Thanks.
Hikmet Ersek - The Western Union Co.: Thanks, Tien-Tsin.
Operator: The next question comes from Darrin Peller of Barclays. Please go ahead.
Darrin Peller - Barclays Capital, Inc.: Hey. Thanks, guys. I just want to start off...
Hikmet Ersek - The Western Union Co.: Hi, Darrin.
Darrin Peller - Barclays Capital, Inc.: Hey, guys. Just a first question is back to WU Way initiatives for a moment. Just want to make sure if that's really trending well and as in plan? Is there any expectation you'd have to change the numbers around that that you gave us in the beginning of the year? And again, how to revisit and think about into next year? Any updates on that first.
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, Darrin, we're confident of our outlook there, both on the – we plan to spend about $100 million. That hasn't changed, that's approximately $100 million, and we've already spent about $50 million year-to-date. We had always planned on getting the majority of our efficiencies in the second half of the year, and that continues to be the plan. We've taken some severance actions. We've started our technology footprint consolidation. So, those things will translate into benefits as we go into the third and fourth quarter. So, that's still the expectation.
Hikmet Ersek - The Western Union Co.: I feel also very confident, Darrin, on that. So, the team is really starting to implement the lean management techniques. As you know, it's all about lean management techniques having different efficiencies. We started having two significant projects, which is one is the agent implementation program, the second one is the digital self-service program for consumers. That's immediately brought us on the test phase, the reports of $1 million and we have a roadmap to get to the $20 million. So, I feel quite confident on that.
Darrin Peller - Barclays Capital, Inc.: Okay. All right. That's helpful. And then just I guess a quick follow-up on the digital side. I mean, I think it was a little bit slower than it was last quarter. It's still going very well, obviously, relatively speaking, over 20% growth. But the deceleration, I think, just a small amount, was that just tougher compares? I guess compares get a lot tougher in the second half of the year against, what, 30%-type growth last year, second half. And I guess I just want to make sure there's nothing competitively going on, I know you touched on that briefly before at another question, nothing around the industry. It's really just – is it just tough comps or – and then is the additional corridors, I think you just mentioned in answering another question, just enough to drive – to hold up that growth rate for the foreseeable future? Thanks.
Hikmet Ersek - The Western Union Co.: Well, that's a long question. Let me try to answer that question. So, first of all, we are extremely pleased with the dot-com numbers. And compared with the competition, our business on 2016 was $340 million. And 2017, we will be – if you take that growth rate, we will be over $400 million. It's far bigger than any competition on the market. So, the growth rates are extremely good and that's the base where we are growing. We are growing really from a very strong base on the dot-com business. The second thing is that, the growth is currently coming mainly from the existing markets with the customer experience. As I mentioned earlier to Tien-Tsin is that, new markets – opening new markets will help us once that customer experience also kicks in there, we can see already in European – some European Union countries strong growth here. The customers are repeating and using us. So I'm pretty much focused on that and I feel comfortable with – it has been a little bit slowdown. The slowdown came a little bit by the U.S. domestic and U.S. business – domestic money transfer business on the dot-com, but international for cross-border, the growth rates are impressive.
Rajesh K. Agrawal - The Western Union Co.: And Darrin, the wu.com business has been growing in the mid 20% range for the last few years and that's the rate it continues to grow at. So we're very pleased with the overall result. Does that make any sense?
Darrin Peller - Barclays Capital, Inc.: Okay. No, that's helpful, guys. Thanks very much.
Hikmet Ersek - The Western Union Co.: Thanks.
Operator: The next question comes from Bryan Keane of Deutsche Bank. Please go ahead.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Yeah. Hi, guys. Just wanted to follow-up on those operating margins. I was just hoping maybe you could, Raj, quantify the marketing impact that was pushed out and just curious, was that region and was it unexpected or is this just a something that popped up that's surprised you guys in the quarter?
Rajesh K. Agrawal - The Western Union Co.: No, we have marketing plans that we layout at the beginning of the year and the marketing level of spending will vary from quarter to quarter, but we have a number of programs that are lined up particularly in our digital business to drive the growth there. So nothing really that unusual there. That is certainly the biggest driver. We haven't quantified it, but it's certainly the biggest driver. Compliance is a little bit higher and then FX is having a little bit of a negative impact. We're just a little bit counterintuitive, even though we're getting absolute benefits from revenues and profit, the profit impact is not as much and so it's slightly negative to margins. And then certainly have helped from the WU Way savings. But I mean those are main factors Bryan, there are a lot of other puts and takes in that for the rest of the year, but those are the key items.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. And then, Hikmet, on those lower commissions, it sounded like that would continue from some of the mix shift change.
Hikmet Ersek - The Western Union Co.: Well, if you look at over the, I would say, at the last two years, Raj, right, we've been quite good on commissions, more effective over the last two years. If we follow the trend, it should be getting better with the mix and also with the negotiations and we still want to have a win-win situation because good – if an agent makes good money, we'll have a better customer service also. So it's a balance here. And so – but we do see through the mix and that trend, if you look at the commission trends over the last two to three years, we've been doing a good job and that trend should continue.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. And then just last question for me, how has the retention rate been of your exclusive agent relationships? My understanding is you recently lost some exclusive relationships in India. I don't know if you can maybe help us understand that.
Hikmet Ersek - The Western Union Co.: Sure. Our exclusive agent, especially on the send side has been exclusive to top 40 agents for the last 20 years, and that has not changed. And, Bryan, you know our business model very well. Once it's in Western Union location or in the transaction system, it stays in the transaction system and that's the most important one. So our agents on the send side has been exclusive...
Rajesh K. Agrawal - The Western Union Co.: They are mostly exclusive on the send side.
Hikmet Ersek - The Western Union Co.: Exclusive on the last – we have exclusive agreement for 20 years. So on the India side, obviously, we have 110,000 locations and our millions of accounts in – hundred millions of accounts in India. And our business is very much – one of the strong business growing to India is sending westernunion.com to an account. And that has been growing very fast over the years and that's the success story on that. That drives also the westernunion.com growth actually. And so on the exclusivity, I would say that, we like exclusive agent as everyone would like it, right. But on the send side, we are feeling quite comfortable with our exclusive partnerships.
Rajesh K. Agrawal - The Western Union Co.: Yeah, Bryan, India has been a non-exclusive market for years and almost all of our locations there have been non-exclusive for some time.
Hikmet Ersek - The Western Union Co.: Right.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. Thanks for the color guys.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Hikmet Ersek - The Western Union Co.: Thanks. Thanks, Bryan.
Operator: The next question comes from James Friedman of Susquehanna. Please go ahead.
James Eric Friedman - Susquehanna Financial Group LLLP: Hi. Thank you. It's James at Susquehanna. I just want to ask a couple of questions. Raj, I think in your prepared remarks, you suggested that the Southwest Border agreement would have a constructive impact on compliance cost. I was trying to understand the mechanics of that (39:01) technical? And then also if you – are we closer to the end and the middle in terms of the Gulf states? Where do you see the oil-rich countries when you project forward? Do you think that we're potentially going to see a recovery here at some point? Thank you.
Rajesh K. Agrawal - The Western Union Co.: Sure. On the Southwest Border, James, the benefit we got was largely in the second quarter. Obviously, we've been spending to put those programs in place for the last few years, and we sort of did the last piece of it in the second quarter and completed that. So, that's why you saw the compliance costing only 3.2% of revenues, which is lower than the run rate trend that we've had around 3.5%. So, that's really what I would look at as the benefits. That's not necessarily going to repeat itself as we go forward because we've sort of just spent less than we thought and now we're going to move on. Our programs do continue to ramp up the rest of this year as we spend on the Joint Settlement Agreement requirements that we signed in January. And so that's why we've got an outlook of 3.5% to 4%. And you heard the earlier discussion, but our goal is to try to do that as efficiently as we can. With respect to the Gulf states, assuming there's a stable environment there, and that's been quite volatile over the last couple of years, we should start to see some benefit in the second half of the year as we anniversary some of the bigger declines. The UAE and Saudi Arabia only began to decline in the second half of last year. So, we'll see how that progresses this half. And then India, which was a key part of that also, the demonetization began in November of last year. So, that'll be towards the end of the fourth quarter. But as we progress through the second half, we should start to see some benefits. Again, that assumes a stable environment there.
James Eric Friedman - Susquehanna Financial Group LLLP: Thanks for the color. I appreciate it.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Hikmet Ersek - The Western Union Co.: Thanks.
Operator: The next question comes from Ashwin Shirvaikar of Citi. Please go ahead.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Hi, Hikmet. Hi, Raj.
Hikmet Ersek - The Western Union Co.: Hi, Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Hey. So the first question is actually with the C2B restructuring and including it in other. Is there a financial or cash flow benefit from that action? And then similar to the C2B restructuring, are you looking at other areas of the overall business? For example, I think compared to the investment put in – invested in the Business Solutions, the results there have been poor for years. So just trying to figure out financial impact from broader restructuring that was put in our models.
Rajesh K. Agrawal - The Western Union Co.: Ashwin, the reporting change is really just that, it's a reporting change. We have some internal restructuring we have done where we've split responsibilities of the electronic businesses and the retail bill payments businesses. And so, they're being managed internally by different leaders and so they're not large enough on their own to report as a separate segment. So we've put them into other which, again, other is largely the bill payments businesses still, it's 85%, or more than 85% of the revenues, and electronic bill payments business here in the U.S. which is called Speedpay, continues to drive the results, along with the Argentina business. Any efficiencies that we get from that would be part of our WU Way programs and the efficiencies that we're showing, mostly in the second half of the year. So, I don't know if that addresses your question, Ashwin, but that's really how we've thought about it.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Okay. Well, we could take it up offline. The other one is, when I look at constant currency revenue growth for C2C, it seems to have decelerated sequentially actually for each of the segments that you measure. And if I adjust out westernunion.com growth, that traditional agent side seems to be like down 1 to 2%. So, I guess the question really is, I mean this late in the cycle, one would obviously expect better growth. What are the things that you can do? Have you contemplated either pricing changes to boot up traffic, or what can you do to get out of this low-single digit decline type of event? (43:30)
Rajesh K. Agrawal - The Western Union Co.: Yes. I don't think it's – it's not a pricing question, Ashwin. Yeah, we had a little bit of a tick down. I mean we're talking about rounding up versus rounding down in terms of the overall growth. I think largely, the trends continue to be as we expected. In any given quarter, you're going to have a little bit of a variation there, but as you look at the various businesses, that's certainly the case, a little bit of a change in regions here and there, but generally pretty good. I mean the U.S. to Mexico, U.S. DMT, are the two ones that I would probably call out, and then Middle East continues to decline, but that's for other reasons. So we should start to see, as we just talked about, we should start to see some grow-over benefits in some areas in the second half.
Hikmet Ersek - The Western Union Co.: Yeah. That's on the short term. On a long-term basis, obviously, how do we get out of that, obviously, as I said in the (44:23), our focus is on digital. Digital on the consumer money transfer, digital is – also on the payments business. I think these are growing very fast, and that will help us overall growth also, because don't forget, westernunion.com is growing very fast, and with $400 million over projected revenue, it's probably the largest in the market. However, it's only 9% of our revenue. And so, if that comes to a bigger number, that will definitely have a total impact on the total company results. Although other example is the Speedpay. Speedpay business is over $300 million, $350 million business...
Rajesh K. Agrawal - The Western Union Co.: $320 million last year.
Hikmet Ersek - The Western Union Co.: Yeah. So last year. And this is growing also double digit. All the digital ones that grow and having a bigger impact of the company over results by keeping the retail money transfer business stable and resilient, running the engine in a better way, I think the growth opportunities are here.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Good to know. Thank you.
Hikmet Ersek - The Western Union Co.: Thanks.
Rajesh K. Agrawal - The Western Union Co.: Sure. Thanks, Ashwin.
Operator: The next question comes from Andrew Jeffrey of SunTrust. Please go ahead.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Hey. Good afternoon. Thanks for taking my questions.
Rajesh K. Agrawal - The Western Union Co.: Hi, Andrew.
Hikmet Ersek - The Western Union Co.: Hi, Andrew.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Wanted to dig in a little bit on Speedpay, because this is a business that hasn't probably gotten a lot of airtime amidst all the talk of C2C. Can you just maybe detail specifically why that business is doing better? This is the best quarter it's had in some time, I was just looking at the historical linked quarters for the other segment you're reporting now.
Hikmet Ersek - The Western Union Co.: Sure. Obviously, we are very pleased with the Speedpay results. That has to do with biller acquisition and customer experience. The existing biller has a much better customer experience. We start the program with our WU Way and with our focus with the leadership on, how do we focus on the customer experience on bill pay. And the other thing is also getting new billers, and really inviting to our platforms with solutions that are unique in the market, and that happened, Andrew, with technology upgrades. The team around David Thompson and the team around Jean Claude Farah did a great job to upgrade the technology platform, offering Speedpay to billers, which is unique in the market, and that growth helped. So the processing capability of Speedpay is really market leading. It's much better, and the billers are much – get their money faster, are more satisfied, and the customers can use the biller. So, that's really execution part that has been driving the growth.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay. Well, good to see. And then, with regard to WU Way, we're halfway through 2017 now, is there sort of a timeline for achieving the associated benefits? In other words, as we look out past 2017, will WU Way, in your view, continue to be call out expense?
Hikmet Ersek - The Western Union Co.: So, first of all, I would like to mention that WU Way, as you know, I said earlier, it's not only a cost saving initiative, it helps running the company more efficiently, and helps start bringing the cost savings long-term. It's not a one-time 2017 action, it's not a project, it's really not one-time initiative, it's a long-term put in all over the company with lean management. Now the test we put in the market, the pilots we put in the market, I'm very pleased with the results. And people are doing very efficient way of running this. I mean, you asked the question already, Speedpay. The way we operate is a different way as we did operate in the past. And that long-term cost efficiencies, that long-term efficiencies should be also allowing us to invest in the growth initiatives and really finding new growth areas, to Ashwin's question earlier, how we can have a better growth and that's the focus of WU Way. I'm very confident about this year targets. And as we get this WU Way more in our operating living experience, I will give more metrics which it will be easier to you to track on that also.
Rajesh K. Agrawal - The Western Union Co.: And, Andrew, just to add to Hikmet's answer. On the $100 million that we're spending this year, we do not expect to have that same $100 million next year. So that is a cost that is going to hit this year, not next year. And then on the savings, we're still estimating about $20 million this year and an incremental $25 million next year for the WU Way savings, so the $45 million run rate.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Is that to say, Raj, that it's not a $100 million in expense or that's zero in 2018?
Rajesh K. Agrawal - The Western Union Co.: Yes. Sure.
Hikmet Ersek - The Western Union Co.: Yeah. We don't expect to call it in the expenses in 2018.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay.
Rajesh K. Agrawal - The Western Union Co.: Yes. Exactly.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: All right.
Rajesh K. Agrawal - The Western Union Co.: Exactly.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Thank you.
Hikmet Ersek - The Western Union Co.: Thanks, Andrew.
Operator: The next question comes from Ramsey El-Assal of Jefferies. Please go ahead.
Unknown Speaker: Hi. Thanks for taking my question. This is Damian (49:41) on for Ramsey. So the question is in regards to M&A. There was some discussion late in 2015, and it's been pretty quiet since then. Are there any particular regions or capabilities that you're targeting? It sounds like online remittance has been a recent target. So is it safe to assume that future M&A would likely be targeted at similar capabilities? And with the majority of the cash held internationally, should we be thinking of non-U.S. companies as likely targets?
Hikmet Ersek - The Western Union Co.: Well, we will – obviously, we are constantly looking at the market, which capabilities are there, and we will – if we need that, we will acquire them wherever that is and where we will have a long-term return on that. So saying that, though, we did not see as today a significant opportunity on M&A, strategic opportunity we didn't see here yet. And look at our – you said digital, you look at our digital business. It's a best practice in the market. And obviously combining our digital with our capabilities and going to the market in 40 markets, you don't have other company who has been 40 outbound countries to connect in 200 countries. There are definitely other competitors. Are they in England, in UK, or are they here in the U.S. they do probably a good job, but they are not in our sides. And I think focusing on the operational excellence here and growing that part, it's probably more better for the shareholder value than looking for some additional thing then will won't fit in. But if there is an acquisition opportunity, which will upgrade our systems, upgrade our digital capabilities, we will definitely look at that and we are not shy to do that.
Unknown Speaker: Okay. Thank you. That's helpful. And just as a quick follow-up on B2B operating margin, you called out higher technology expense as the driver of lower EBITDA margin. I'm just wondering if you could break that out for us. And maybe just give us some general commentary on how you're approaching that segment going forward. Thank you.
Rajesh K. Agrawal - The Western Union Co.: Yeah. On the margins, we did have some higher technology expense and that's why you see the EBITDA margins ticking down from a year ago. There's not much more to break out than that. I think on a longer term basis, I think there's more potential for margin growth here in the B2B business, but we need revenue growth to be there at a follow-up level because the business has a higher proportion of fixed cost. So, as we get revenue growth, we should be able to drive better margins overall. And you can see the last few years, we've been able to improve margins in that business quite a bit. So, that is our expectation.
Unknown Speaker: Okay. Got it. Thank you very much.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Michael Alan Salop - The Western Union Co.: Andrew, I think there's one more person in the queue, so we'll take this as the last question.
Operator: Okay. And that last question will come from John Davis of Stifel. Please go ahead.
John Davis - Stifel, Nicolaus & Co., Inc.: Hey. Good afternoon, guys. Just a bigger picture question on the margin. Trying to move past the timing this quarter and also the WU Way expenses this year, did you see a path back to a 20% GAAP margin? Maybe not in the 2018, but is that kind of what you are circling once you get back through all these one-time expenses and kind of right sizing, restructuring the business?
Rajesh K. Agrawal - The Western Union Co.: Yeah. John, I can't give you a forecast for next year, but if you just put the pieces together, we've talked about WU Way cost of $100 million being really the cost that we expect this year. We don't expect to breakout any separate WU Way cost next year. We have some other one-time type items like the legal accrual. So I think the margins over the last few years have been around 20% and there are a lot of factors that are going to impact margins. Currency is certainly a factor and currency rates are going to continue to move. Revenue growth is still the number one item for us in terms of impact to margin. So we need to see where revenue growth comes out. But with good revenue growth, we get more leverage on our cost structure, right which is 40% fixed. And the other cost items we talked about commissions and compliance have been more stable. So those are the different pieces and we need to see how all those come together. But again, some of the significant items like the WU Way expenses, we don't expect to break those out next year and really that goes away for next year.
John Davis - Stifel, Nicolaus & Co., Inc.: Okay. And then just to as a follow-up, maybe touch on pricing for a second. Maybe you guys made some adjustments in 3Q last year to FX spreads. Is it safe to say that that's kind of run its course now and what's the outlook kind of heading into the back half of the year on pricing?
Hikmet Ersek - The Western Union Co.: We're stable. I don't – the last two years the 2015 and 2016, the pricing has been very stable, very competitive. We still have a premium about 15%, though the pricing pressure is not there. And I feel very stable on the pricing. The adjustment this quarter was also in the pricing grow-overs over the last year. So I feel very comfortable with our pricing forecast and also our competitive environment.
John Davis - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, guys.
Hikmet Ersek - The Western Union Co.: Thanks.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Michael Alan Salop - The Western Union Co.: Hey thanks, everyone for joining us today and wish you a happy afternoon. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.